Operator: Good morning, ladies and gentlemen, and welcome to Automotive Property (sic) [ Properties ] REIT's 2025 Fourth Quarter and Year-end Results Conference Call and Webcast. [Operator Instructions] Please be aware that certain information discussed today may be forward-looking in nature. Such forward-looking information reflects the REIT's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking information. For more information on the risks, uncertainties and assumptions relating to forward-looking information, please refer to the REIT's latest MD&A and annual information form, which are available on SEDAR+. Management may also refer to certain non-IFRS financial measures. Although the REIT believes these measures provide useful supplemental information about financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please refer to the REIT's latest MD&A for additional information regarding non-IFRS financial measures. This call is being recorded on March 5, 2026. I would now like to turn the conference over to Milton Lamb. Please go ahead, Mr. Lamb.
Milton Lamb: Thank you, Morgan, and good morning, everyone. Thank you for joining us. With me today on the call is Andrew Kalra, our Chief Financial Officer. 2025 was an instrumental year for Automotive Properties REIT. We acquired 13 automotive properties, including our first 3 properties in the United States for an aggregate purchase price of approximately $200 million. These acquisitions contributed to our significant growth in rental revenue, cash NOI, AFFO per unit in 2025, which supported our distribution increase effective August of 2025. Compared to 2024, our property rental revenue increased by 8.5%. Cash NOI was up 8.4% and AFFO per unit diluted increased to $0.998 from $0.932. As the majority of our acquisitions were completed in the second half of the year, our Q4 results show even greater growth with property rental revenue up 19.3% compared to Q4 a year ago. Cash NOI grew 18.6% and AFFO per unit diluted increased to $0.251 from $0.232. Our $57.1 million equity offering in the quarter, which helped finance our acquisitions impacted our Q4 AFFO per unit but we still generated nearly $0.02 increase to AFFO per unit. Supported by our contractual fixed or CPI adjusted rents -- annual rent increases, our same-property cash NOI increased by 1.9% and 2.1% for Q4 2025 and the full year, respectively. During Q4, we deployed approximately $57.3 million for the acquisition of 4 dealership properties in Greater Montreal, including a portfolio of 3 properties located in Dorval consisting of a full-service Subaru, Honda and VW dealership properties tenanted by affiliates of Dilawri, and a full-service Honda dealership in Ile-Perrot tenanted by an affiliate of Group Auto Force, which adds to the sixth property portfolio we previously acquired in Q3, which is also tenanted by affiliates of Group Auto Force. We expect to benefit from the full impact of our 2025 acquisitions in 2026. Subsequent to year-end, on January 1, we completed the acquisition of a full-service 40,000-foot Hyundai dealership situated on 6 acres of land in Quebec City for a purchase price of $13.25 million. And yesterday, we announced that we've waived conditions for the purchase of the real estate underlying automotive and service property located at 3280 Corporate View in Vista, California from a third party for a purchase price of USD 16 million. Vista is located in Northern San Diego County. The Vista property is tenanted by Rivian under a midterm net lease that includes contractual fixed annual rent increases with renewal options. The Vista property consists of a 60,000-foot Rivian delivery and service facility that is situated on approximately 3.7 acres of land. The acquisition is expected to close during the first half of 2026, and we expect to fund the purchase price by drawing on our revolving credit facilities. We expect these property acquisitions to drive continued growth in our AFFO per unit, and we are entering 2026 with solid growth momentum. I'd now like to turn it over to Andrew Kalra to review our Q4 financial results and position in more detail. Andrew?
Andrew Kalra: Thanks, Milton, and good morning, everyone. Our property rental revenue for the quarter increased to $27.9 million from $23.4 million in Q4 a year ago, reflecting growth from the properties we acquired during and subsequent to Q4 last year and contractual annual rent increases partially offset by the reduction of rent from the sale of our Kennedy Lands property in October 2024. Total cash NOI, same-property cash NOI for the quarter totaled $23.2 million, $19.6 million, respectively, representing increases of 18.6% and 1.9% compared to Q4 a year ago. Interest expense and other financing charges for the quarter were $7.5 million, a $1.9 million increase from Q4 last year, reflecting additional debt incurred to acquire properties during and subsequent to Q4 2024 and increased interest rates. Our G&A expenses were $1.8 million for the quarter, a decrease of $0.4 million from Q4 last year, in line with our expectations. Net income and other comprehensive income was $13.9 million compared to $12 million in Q4 last year. The increase was primarily due to higher NOI and a change in noncash fair value adjustments for interest rate swaps, partially offset by higher interest costs and changes in noncash fair value adjustments for investment properties and for Class B LP units and unit-based compensation, partially offset by a foreign exchange loss of $1 million. FFO and AFFO increased by 20.4% and 18.4%, respectively, compared to Q4 last year, reflecting higher rental revenue from acquisitions, contractual rent increases, partially offset from the reduction of rent from the sale of the Kennedy Lands. On a per unit basis, FFO increased to $0.259 diluted in the quarter, up from $0.236 in Q4 last year, and AFFO per unit increased to $0.251, up from $0.232. We paid unitholders distributions of $11.32 million or $0.206 per unit, representing an AFFO payout ratio of 82.1% compared with 86.6% in Q4 last year reflecting the positive impact of the properties acquired during and subsequent to Q4 last year and contractual rent increases, partially offset by the reduction of rent from the sale of the Kennedy Lands and the increase in our monthly cash distributions effective August 2025. The cap rate applicable to our portfolio was 6.75% at year-end, which is essentially flat quarter-over-quarter. The $6.8 million fair value adjustment for the year was primarily related to write-off of closing costs, including land transfer taxes associated with the new acquisitions. We continue to be proactive with our debt strategy to limit our exposure to interest rate fluctuations, enhance our financial flexibility. During the quarter, we renewed or entered into $25 million of floating to fixed interest rate swaps for a term of 5 to 6 years at a rate or under 4.5%. We increased the amount of the non-revolving portion of Facility 3 by $40 million and extended the maturity to March 2028 at the same credit spread. At year-end, we had a debt-to-GBV ratio of 49.9%, providing further acquisition capacity. Subsequent to year-end, we entered into floating to fixed interest rate swaps within Facility 3 in the amount of $45 million for terms ranging from 5 to 7 years with interest rates between 4.45% and 4.59%. And we increased the amount of the revolving portion of Facility 1 by $25 million and extended the maturity from June 2027 to June 2029. As at the date of this MD&A, on a trailing 12-month basis, the borrowing capacity under our 3 credit facilities increased by an aggregate $140 million, and we extended maturities. We have a well-balanced level of annual maturities with less than $40 million of swaps maturing over the next 12 months. We have a weighted average interest rate term and mortgage remaining of 4.1 years at year-end. As at March 4, 87% of our debt was fixed through interest rate swaps and mortgages, and we had approximately $102.3 million of undrawn capacity under our revolving credit facilities and 10 unencumbered properties with an aggregate value of approximately $130.2 million. I'd like to turn the call back to Milton for closing remarks. Thank you very much.
Milton Lamb: Great. Thanks, Andrew. 2025 marks our 10th anniversary since the creation of the REIT. And over that period, we've established ourselves as an important partner to major automotive dealership groups and OEMs in Canada and now in the United States. As a result, we've successfully diversified our tenant base, market presence and brand representation while more than tripling the value of our investment properties. We further built upon this progress in 2025 and strengthened our position for growth through the acquisitions of 13 properties for an aggregate purchase price of approximately $200 million. Our entry in the U.S., combined with our entry into a heavy equipment dealership vertical late last year has broadened both our revenue base and our potential acquisition pipeline. We are successfully executing on our key objectives, including driving AFFO per unit to build value for unitholders. We're pleased to have implemented a 2.2% increase to unitholder distributions this past year. And looking ahead, you can expect us to continue to build on these positive factors to drive unitholder value supported by a growing property portfolio, featuring essential retail and service properties with 100% rent collection since our IPO over 10 years ago, prime metropolitan markets anchored by GDP and population growth, high-quality tenants with resilient business models, attractive single-tenant net lease structures and embedded fixed or CPI-adjusted rental growth. We look forward to benefiting from a full year of the financial impact of our 2025 acquisitions in 2026. That concludes our remarks. Now I'd like to open it up for questions. Morgan, please go ahead.
Operator: [Operator Instructions] Your first question comes from Sairam Srinivas with ATB Cormark Capital Markets.
Sairam Srinivas: Congratulations on a good 2025. Obviously, 2025 has been very active for the acquisitions pipeline and it looks like 2026 is pretty active as well. So can you comment on the outlook ahead and what you're seeing developing in your markets?
Milton Lamb: Yes. I mean we experienced during COVID and just after a bit of euphoria where some of the pricing on these properties went to a level that we were not comfortable proceeding at. That's now normalized to what we've traditionally seen where we can buy properties in that, call it, 6.5 to low 7s and put financing in place in the mid-5s -- sorry, in the mid-4s. That allows us to be at a number of opportunities that are appealing to us. We're still being selective. And as you can tell, looking at Florida and California plus Montreal, these are markets that are very healthy for real estate and the economy overall.
Sairam Srinivas: That's definitely the case. And maybe just a follow-up there. Looking at the U.S., you essentially been focusing on Rivian and Tesla tenanted dealerships there. Is that part of your broader strategy as well in terms of the U.S. market?
Milton Lamb: As a broad strategy, we certainly believe. We watched Tesla for a while before we did our first. And then currently, we have 7. We're excited about what Rivian is doing with the R2 that will launch shortly. So there tends to be some merchant developers in the states that are providing long-term leases with Rivian and Tesla in major markets that when we underwrite the real estate, both for the existing tenet and for the actual dirt building an area that we're excited about. It is not our sole strategy. We still believe that we will look for and be able to complete some automotive traditional dealership properties as well. It's early days, but we still think there will be a diversified portfolio that we end up building out.
Operator: Your next question comes from Jonathan Kelcher with TD Cowen.
Jonathan Kelcher: I guess just continuing on that last line of questioning. Pro forma, when this close -- when this deal closes, what percent of your net rents will come from Rivian?
Milton Lamb: We don't give forward-looking exact, but it's going to be under 5%. I mean it may be 3 properties but these are not very large properties. And again, we certainly underwrite it for the dirt underneath. We like the assets, and we like the tenant.
Jonathan Kelcher: Okay. Helpful. And then just, I guess -- well, second follow-up/second question. Just on the balance sheet, you talked about pushing $45.9 million post quarter into fixed rate. Like what -- Q4, you were 20% floating. What would you be pro forma right now?
Andrew Kalra: In terms of our swaps coming due over the next 24 months, we've got about $40 million. We're going to push -- we're going to -- with the acquisitions, we use our revolving balance, so our revolver will go up. And then with respect to as at the date of the MD&A, our overall non-revolving is 87% fixed. Okay. We're in a comfortable zone, and we ended up doing swaps in an opportune time in the beginning of February and got some good rates as well.
Operator: [Operator Instructions] Your next question comes from Jimmy Shan with RBC Capital Markets.
Khing Shan: So just in terms of the acquisition pace this year, do you expect it to be as active as last year?
Milton Lamb: I think we're building some momentum both in Canada and the U.S. and the -- we went through some of the math a few moments ago. So that works. I think we have to be selective, and we continue to be selective. So for us, it's a cost of capital balancing with the opportunities that we see. So it will be -- we expect to see some opportunities and it will be an interesting year. But we still believe that our multiple reflects a bit of a hangover of USMCA affecting auto, and they don't finish that sentence that says auto manufacturing. So I think we're caught in the word scramble of a title of 6 words versus 7 words, making a big difference in how we're viewed. So once that dissipates, I think our cost of capital will come back in line, and we're pretty excited on what our pipeline can and should be.
Khing Shan: Okay. As you build out the U.S. portfolio, so how are you thinking about the markets you want to be in? Do you want to build a critical mass first? Or are you now just looking at the credit and you're kind of market agnostic?
Milton Lamb: Yes. No, we're not -- we've never been market agnostic. So I guess I'd answer that in 2 ways. One is the underlying kind of philosophy of the REIT has always been metropolitan with population growth and GDP growth. Certainly, there's more markets in the U.S. than in Canada, just by the sheer size that fit that category. The good news is on a net lease business, we don't have those operating need for capabilities, risk management. It tends to be a bit more of an asset manager as opposed to a property manager leasing level. But we still do like, call it, that Southeast market. And then as you kind of move over into the Arizona, Texas and California. We like to see the dirt and the underlying economy and population supporting the real estate that we buy. It helps our tenants and it helps the dirt.
Khing Shan: Okay. Sorry, just one last. Do you have any update on the Pfaff, the Audi space there in Vaughan, what you plan to do there?
Milton Lamb: It's early days. It's a bit of a balancing act. I mean it's a great property. I keep on saying dirt but it's also got a great building on it. So the combination is the demand now for leasing income versus there is higher and better use, good density there. But in today's market, you're not getting paid for the density. So it's a balancing act of how long do we want to commit on that property versus how long until we get access to potentially the underlying value. And that's what we're going through right now and looking at different opportunities and different structures. It's early days but it's a high-quality property.
Operator: Your next question comes from Giuliano Thornhill with National Bank.
Giuliano Thornhill: Just a question. How do the cap rates compare for the Rivian deals compared to just regular kind of dealerships in their areas? Are they on similar like same ballpark? Or are they different?
Milton Lamb: It really depends on the market. But I would think the Rivians, it's -- they haven't been around as long as some of the other dealerships or Tesla. So that's reflected a bit. But again, it's the -- what I find interesting is that they're at market rates or at numbers that we are -- I shouldn't say it overall. The ones that we've been doing are at market rates that we're very comfortable with. We've seen a number across our desk at a high number per square foot that makes us extremely uncomfortable. So it is a bit of a balancing act between the actual real estate and the tenant in place. But I would say, Rivian, with their upcoming R2, we could expect to see some cap rate compression going forward, assuming that, that launch goes as well as people anticipate.
Giuliano Thornhill: And do you think of the EV transition more of like a risk or an opportunity for your kind of your existing tenant base?
Milton Lamb: I think it's opening up more demand for the real estate that is zoned for automotive in Canada, whether that's including potential new Chinese entrants or just overall. I think for the existing, call it, traditional dealership base, a lot of them are going to have to have the service capabilities and the delivery capabilities for both -- well, for 3 for ICE, hybrid and for EV. So I think that broadens out their needs. But it's really going to be consumer preference, and there's going to be some investment that has to occur. But I don't see this being a hard pivot. I think it's going to be gradual over the next 15 to 25 years. And they're going to have to continue to service ICE vehicles and at the same time, move up the chain through hybrid and ICE -- sorry, hybrid and EV.
Operator: This concludes the Q&A session. I would like to turn the call back over to management for any further remarks.
Milton Lamb: We appreciate everyone's time, and we look forward to talking to you shortly. Have a good day, everyone.
Operator: This concludes today's call. Thank you so much for attending, and have a wonderful rest of your day.